Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fiscal 2014 Second Quarter Earnings Results and First Six Months of Fiscal 2014 Conference Call. (Operator Instructions). Your host today is Laurans A. Mendelson, Chairman and Chief Executive Officer of HEICO Corporation. Before the conference call begins I will read the following statement. Certain statements made in this call will constitute forward-looking statements, which are subject to risks, uncertainties and contingencies. HEICO's actual results may differ materially from those expressed in or implied by those forward-looking statements as a result of factors including, but not limited to, lower demand for commercial air travel or airline fleet changes or airline purchasing decisions, which could also cause lower demand for our goods and services; product development or product specification costs and requirements, which could cause an increase to our cost to complete contracts; governmental and regulatory demands; export policies and restrictions; reductions in defense, space or homeland security spending by U.S. and foreign customers or competition from existing and new competitors, which could reduce our sales; our ability to introduce new products and product pricing levels, which could reduce our sales and sales growth; product development difficulties, which could increase our product development costs and delay sales; our ability to make acquisitions and achieve operating synergies from acquired businesses; customer credit risk, interest and income tax rates; economic conditions within and outside the aviation, defense, space, medical and telecommunications and electronic industries, which could negatively impact our costs and revenues; and defense budget cuts, which could reduce our defense-related revenue. Those listening to this call are encouraged to review all of HEICO's filings with the Securities and Exchange Commission, including, but not limited to, filings on Form 10-K, Form 10-Q and Form 8-K. We undertake no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise, except to the extent required by applicable law. Thank you. I will now turn the conference over to Mr. Mendelson. Please go ahead.
Laurans A. Mendelson: Thank you very much and thank you and good morning to everyone on the call. We again thank you for joining us and we welcome you to HEICO's second quarter fiscal 2014 earnings announcement tele-con. I am Larry Mendelson, Chairman and CEO of HEICO Corporation and I am joined here this morning by Eric Mendelson, HEICO's Co-President and President of HEICO's Flight Support Group; Victor Mendelson, HEICO's Co-President and President of HEICO's Electronic Technologies Group; Tom Irwin, HEICO's Senior Executive Vice President and Carlos Macau, our Executive Vice President and CFO. Before reviewing our second quarter operating results in detail I’d like to take a few moments to summarize the highlights. Our consolidated net sales, operating income and net income in the first six months of fiscal ’14 represent record results for HEICO driven principally by record net sales and operating income within Flight Support and Electronic Technologies. Consolidated 2nd quarter fiscal ‘14 net income and operating income are up 20% and 10% respectively on a 19% increase in net sales over the second quarter of fiscal ‘13. Consolidated net income and operating income in the first six months of fiscal ‘14 are up 28% and 25% respectively on a 21% increase in net sales over the first six months of fiscal ‘13. Consolidated net income per diluted share increased 20% to $0.42 in the second quarter of fiscal ‘14 up from $0.35 cents in the second quarter fiscal ‘13. Our Flight Support group set an all-time quarterly net sales and operating income record in the second quarter of fiscal ‘14 by improving 26% and 22% respectively over the second quarter of fiscal ‘13. The increases principally reflect organic growth of about 15% and additional net sales contributed by a fiscal ‘13 acquisition. Cash flow provided by operating activities increased to $55 million in the first six months of fiscal ‘14. That was up from $44.5 million in the first six months of fiscal ’13. As of April 30, 2014 the company’s net debt to shareholders’ equity ratio was 57.9% with net debt of $415.2 million. As discussed in our last conference call in February we acquired a 20% non-controlling interest led by Lufthansa Technik in four of the company’s existing subsidiaries, those principally operating in specialty products and distribution within our HEICO aerospace subsidiary. LHT still maintains a 20% ownership in HEICO Aerospace, a leading producer of PMA parts and component repair and overhaul services. At this time I’d like to introduce Eric Mendelson, Co-President of HEICO and President of HEICO’s Flight Support Group and he will discuss the results of Flight Support.
Eric A. Mendelson : Thank you. The Flight Support Group’s net sales increased 26% to a record $194.9 million and increased 28% to a record $376.5 million in the second quarter and first six months of fiscal ‘14 respectively up from $155.2 million and $294.2 million in the second quarter and first six months of fiscal ’13 respectively. The increase in the second quarter of fiscal ‘14 reflects organic growth of approximately 15% as well as additional net sales of $15.7 million from a fiscal ‘13 acquisition. The organic growth principally reflects new product offerings and improving market conditions within our after-market replacement parts and repair and overhaul services product line. The increase in the first six months of fiscal ‘14 reflects organic growth of approximately 17% as well as additional net sales of $31.3 million from a fiscal ‘13 acquisition. The organic growth principally reflects new product offerings and improving market conditions within our after-market replacement parts and repair and overhaul services product line and within our specialty product line. As previously announced HIECO is especially proud of the accomplishment of one of its Flight Support Group Subsidiary, Sunshine Avionics who has become HEICO’s second subsidiary to obtain ANAC or ANAC certification. ANAC is the agency responsible for the regulation and safety oversight of the civil aviation in the country of Brazil. This achievement will permit Sunshine Avionics to offer their advanced avionics repair services to their numerous airlines and MRO customers in Brazil. The Flight Support Group’s operating income in the second quarter of fiscal 2014 increased 22% to a record $36.9 million up from $30.3 million in the second quarter fiscal of 2013. It increased 27% to a record $69.1 million in the first six months of fiscal 2014 up from $54.5 million in the first six months of fiscal 2013. The increase in the second quarter and first six months of fiscal 2014 principally reflects the previously mentioned net sales growth. The Flight Support Group’s operating margin was 18.9% and 18.4% in the second quarter and first six months of fiscal 2014 respectively as compared to 19.5% and 18.5% in the second quarter and first six months of fiscal 2013. The decrease in the second quarter of fiscal 2014 principally reflects the impact of additional amortization expense from our successful fiscal 2013 acquisition. Now I would like to introduce Victor Mendelson, Co-President of HEICO and President of HEICO’s Electronic Technologies Group to discuss the results of Electronic Technologies Group.
Victor H. Mendelson : Thank you, Eric. The Electronic Technologies Group’s net sales increased 7% to $89.7 million in the second quarter of fiscal 2014, up from $83.9 million in the second quarter of fiscal 2013, and increased 9% to a record $177.2 million in the first six months of fiscal 2014, up from $162.8 million in the first six months of fiscal 2013. The increase in the second quarter and first six months of fiscal 2014 resulted from additional net sales of $4.1 million and $12.2 million from a fiscal 2013 acquisition as well as organic growth of approximately 2% and 1% respectively. Organic growth in the second quarter of fiscal 2014 was principally driven by our space and aerospace businesses tempered by softer sales in defense related businesses. Organic growth for the first six months of fiscal 2014 was principally driven by our aerospace business offset by softer sales in our defense related businesses. The Electronic Technologies Group's operating income decreased 10% to $18.1 million in the second quarter of fiscal 2014 down from $20.2 million in the second quarter of fiscal 2013. The decrease in the second quarter of fiscal 2014 principally reflects a less favorable product mix for certain of our space and defense products partially offset by $2.3 million reduction in the fair value of the contingent consideration related to the fiscal 2013 Lucix acquisition principally due to less favorable projected market conditions during the future earn out period. The Electronic Technologies Group’s operating income increased 15% to a record $41 million in the first six month of fiscal 2014, up from $35.8 million in the first six months of fiscal 2013. The increase in the first six months of fiscal 2014 is principally attributed to the overall impact of the acquired business. The Electronics Technologies Group’s operating margin was 20.2% and 24.1% in the second quarter of fiscal 2014 and fiscal 2013 respectively. The decrease in the second quarter of fiscal 2014 principally reflects the previously mentioned less favorable product mix, principally at Lucix and at certain defense products. Excluding Lucix’s results ETG operating margins were approximately 22% in the second quarter of fiscal 2014. The Electronic Technologies Group’s operating margin increased to 23.2% in the first six months of fiscal 2014, up from 22% in the first six months of fiscal 2013. The increase in the first six months of fiscal 2014 principally reflects the overall impact of the acquired business partially offset by a less favorable product mix for certain of our space and defense products. I now have to turn the call back to Larry Mendelson.
Laurans A. Mendelson: Okay, moving on to diluted earnings per share the consolidated net income per diluted share increased 20% and 28% to $0.42 and $0.83 in the second quarter and first six months of fiscal '14. And that was up from $0.35 and $0.65 in the second quarter and first six months of fiscal '13 respectively. The increase in the second quarter and the first six months of fiscal 2014 principally reflect the previously mentioned growth within both of our operating segments. Consolidated net income per diluted share includes a $0.05 benefit in the first six months of fiscal 2014. And that was from a reduction in the fair value of the contingent consideration related to a prior year acquisition and that was net of lower than expected operating income at the acquired business. If you want more color on that when I am finished with my prepared remarks we will be able to give it to you. Depreciation and amortization expense increased by $3.8 million and $7.7 million in the second quarter and first six months of '14, that was up from $8.3 million and $16.4 million in the second quarter and the first six months of '13. The increase in both periods principally reflects higher amortization expense of intangible assets recognized in connection with our fiscal '13 acquisition. Research and Development expense increased 21% and 23% to $9.3 million and $18.4 million in the second quarter and first six months of '14 respectively, and that was up from $7.7 million and $15 million in the second quarter and first six months of 2013 respectively. Significant ongoing new product development efforts are continuing at both Flight Support and Electronic Technologies and we continue to invest over 3% of each sales dollar into new product development. You will all recall that this is a strategic model that we follow and have followed for the past 22 years and we believe it to be the life blood of our business. SG&A expenses increased 13% to $50.8 million and 6% to $92.5 million in the second quarter and first six months of fiscal 2014 respectively up from $44.8 million and $87.4 million in the second quarter and first six months of fiscal 2013. The increase in the second quarter and first six months of fiscal '14 principally reflect the incremental impact from acquired businesses and additional cost incurred at our existing businesses to support consolidated organic sales growth and that was partially offset by the previously mentioned reduction in fair value of contingent consideration associated with the fiscal 2013 acquisition of Lucix. SG&A expense as a percentage of net sales decreased from 18.8% in the second quarter of fiscal 2013 to 18% in the second quarter of fiscal 2014. And that principally reflects the impact of the fair value adjustment again of the contingent consideration earn out liability. SG&A expenses as a percentage of net sales decreased from 19.2% in the first six months of ’13 to 16.8% in the first six months of fiscal ’14 again principally reflecting the impact of reduced contingent consideration as well as the impact of higher sales volumes on a fixed portion of the SG&A expense. Interest expense in the second quarter and first six months of fiscal '14 were $1.4 million and $2.7 million respectively. That was up from $800,000 and $1.4 million in the second quarter and first six months of fiscal '13. The increases principally reflect a higher weighted average balance outstanding under our revolving credit facility and that was associated with the borrowings that we use to fund acquisitions. Interest rates on our revolving credit facility remained low at approximately 1.3% per annum as of April 30. Other income in the second quarter and first six months of fiscal ’14 was not significant. Income taxes, our effective tax rate in the second quarter of fiscal '14 decreased to 31.8% from 34.1% in the second quarter of fiscal '13. The decrease is principally attributed to the impact of the previously mentioned reduction in the fair value of contingent consideration associated with a fiscal ’13 acquisition of Lucix acquired by means of a non-taxable stock transaction. The effective tax rate in the first six months of fiscal ’14 increased to 32.9% up from 31.3% in the first six months of fiscal ’13. The increase is principally attributed to the benefit we recognized in the first quarter of fiscal ’13 from the retroactive extension of the R&D tax credit as well as the subsequent expiration of the credit in December 2013 which limited the R&D tax credit recognized in the first six months of fiscal ’14. Additionally the increase is the result of a larger income tax deduction we recognized in the first quarter of fiscal ’13 for the special and extraordinary cash dividend which we paid in December 2012 to participants of the HEICO savings and investment plan. Furthermore the aforementioned increases were partially offset by the impact again of the previously mentioned reduction in the fair value of contingent consideration. Our full year combined tax rate and non-controlling interest rate expressed as a percentage of pretax income is now anticipated to be 42% down from our prior expectation of 43%. Net income attributable to non-controlling interest were $4.4 million and $9.5 million in the second quarter and first six months of ’14 respectively and that compared to $5.3 million and $10.4 million in the second quarter and first six months of ’13. The decrease in net income attributable to non-controlling interest in the second quarter of fiscal ’14 reflects the purchase of certain non-controlling interest during the second quarter of fiscal ’14 resulting in lower allocations of net income to the non-controlling interest. The decrease in net income attributable to non-controlling interest in the first six months of fiscal ’14 reflects purchases of non-controlling interest during fiscal ’13 as well as the second quarter of fiscal ’14 and of course that results in lower allocations of net income to the non-controlling interest. Moving on now to balance sheet and cash flow, our financial position and cash flow remain extremely strong. Cash flow provided by operating activities increased to $55 million in the first six months of '14. That was up from $44.5 million in the first six months of fiscal '13 and that reflected principally increased earnings, higher depreciation and amortization expense and an increase in non-cash value adjustments relating to contingent consideration. We continue to expect cash flow provided by operating activities to approximate $160 million in fiscal 2014. Our working capital ratio is a strong 3.4 as of April 30, 2014, and that’s up nicely from 2.7 as of October 31, 2013. DSOs of accounts receivables was 52 days as of April 30, 2014 and that was comparable to the 50 days as of October 31, 2013, and of course we continue to closely monitor all receivable collection efforts in order to limit credit exposure. Those of you who have been with us for a long time know that HEICO does not have any significant losses in accounts receivable. No one customer accounted for more than 10% of net sales and our top five customers represented approximately 17% of consolidated net sales both in the second quarter of fiscal '14 and '13. Inventory turnover rate was 110 days as of April 30, '14 and that was comparable to 111 as of October 31, '13. Net debt to shareholders’ equity ratio was 57.9% as of April 30, 2014 with net debt which we define as debt less cash and cash equivalents of $415 million, $415.2 million actually, principally incurred to fund the acquisitions as well as the payment of special cash dividends in fiscal '14 and '13. We have no significant debt maturities until fiscal '19, and we plan to utilize our financial flexibility to aggressively pursue high quality acquisition opportunities. As you know HEICO is not a financially constricted company. We have more than enough available cash and credit facilities to do all the things that we want to do whether it is CapEx, acquisition dividends and so forth. So financially we are considered a very strong credit. As we look ahead to the remainder of fiscal 2014 we continue to anticipate organic growth within our product lines that serve commercial aviation. We expect organic growth within ETG consistent with prior years reflecting higher demand for the majority of our products moderated by lower demand for certain of our defense related product. During the remainder of fiscal 2014 we plan to remain focused on new product development, market penetration, executing our acquisition strategies and maintaining our financial strengths. Based upon the current economic visibility we are increasing our estimated fiscal 2014 year-over-year growth in net income to 12% to 14% over the prior year, and that is up from our prior growth estimate which we gave you about three months ago. At that time it was 10% to 12%. We continue to estimate fiscal 2014 year-over-year growth in net sales of 12% to 14%. Our full year fiscal '14 consolidated operating margin should approximate 18%. CapEx will approximate $25 million, depreciation and amortization expense to approximate $49 million and cash flow from operations again should approximate a $160 million. That is the extent of my prepared remarks. And I would like the operator now to open the lines up for questions.
Operator: Thank you, ladies and gentlemen (Operator Instructions). Our first question comes from Tyler Hojo with Sidoti & Company.
Tyler Hojo - Sidoti & Company, LLC: Yeah hi good morning everyone. Just firstly I was hoping to talk a little bit more about kind of some of the impressive growth within the Flight Support business, 15% organic I guess I'm most curious about what the impacts of weather was if any in regards to that growth rate and if you can maybe just comment a little bit on what you’re seeing real time in terms of perhaps some re-stocking in the industry?
Laurans A. Mendelson: I guess I'm going to turn it over to Eric but my 30,000 foot comment is we really didn’t see much on weather and when it comes to re-stocking we don’t see that much on re-stocking. We -- probably 60%, 70% of our shipments are from orders in the same month. So we don’t do that much on rotables, we have the re-stocking issue so but I can let Eric give you more color.
Eric A. Mendelson: Yeah Tyler I don’t know what more I can really add to that other than we meet -- while some other companies spoke about weather being a sort of an accused for some shortfalls we really haven’t seen that and I haven't heard that excuse from our business unit. So I don’t think that that’s an issue for us. We also somewhat have a culture where if there would be weather delays, our business units would figure out how make it up elsewhere. So that may not even bubble up to my desk. And then as far as re-stocking as we said now for the last couple of years airlines are running inventories very, very lean, even the most successful airlines are trying not to hold inventory. So we -- for our products really haven’t seen a re-stocking. We see it operating pretty much a hand to mouth as it has been for the last couple of years, albeit volumes are up. So that I think what’s driving some of our performance but I would not say that it’s due to re-stocking.
Tyler Hojo - Sidoti & Company, LLC: Okay, that’s helpful and I don’t know if you’ve seen the numbers yet but as we see here thus far you know 21 days through May, have you seen anything noticeable in terms of the trends within kind of your core aftermarket level products?
Eric A. Mendelson: Yeah we need to be careful about commenting outside of the reporting period. But I would say it's just business as usual.
Tyler Hojo - Sidoti & Company, LLC: Okay, got it and just lastly from me, could you remind us what your guidance takes in just to [make us do] capacity or air traffic growth this fiscal year?
Laurans A. Mendelson: I am going to ask Tom is going to reply to that.
Thomas S. Irwin: Yes, Tyler. Actually earlier in the year we commented on our sales growth by segment actually but our overall sales growth at 12% to 14% and about 60% of that we thought would be organic in the commercial aviation side or FSG. If you equate back to I think ASM growth forecast they seem to have continued to run about mid-single-digits, so again on a macro basis we like to target organic growth in the commercial aviation aftermarket at 1.5 to 2X times ASM growth or MRO spend which isn't reported as frequently or statistically. But I think it’s still in that range and of course we have some tough comps in the second half of this year for the flight support group given the growth in the second half, organic growth last year of nearly 14%, 17% I think. So but that being said, I think overall we’re still looking at that range of organic growth in Flight Support Group on a full year basis.
Tyler Hojo - Sidoti & Company, LLC: Got it, thanks so much. Appreciate it.
Laurans A. Mendelson: Thank you.
Operator: Thank you. Your next question comes from Julie Yates with Credit Suisse.
Julie Yates Stewart - Credit Suisse: Good morning, nice quarter guys.
Laurans A. Mendelson: Good morning Julie, thank you.
Julie Yates Stewart - Credit Suisse: Question for Victor on ETG margins, do you expect the mix [inaudible] in the second half and to see a rebound back into the mid-20s or how should we be thinking about the margin profile the rest of the year?
Victor H. Mendelson: Yeah I would say that we’re looking probably to the lower 20s somewhere in that range for the balance of the year and I would look for it later in the year at this point, I am not I don’t think it’s a third quarter event.
Julie Yates Stewart - Credit Suisse: Okay and then I think last quarter you mentioned some concern of a defense softening in the second half of the year. Do you have any better visibility here? I think you are now saying organic growth can be consistent with last year in the kind of the historical low single digit range, any update.
Victor H. Mendelson: Yeah, I mean, I would, I think it is pretty much what I said on our last call and that is we started to see it really leap into the longer cycle businesses that we have and not just shorter cycle businesses. And I would, I would expect that to continue. I think we are seeing strength, better strength in some of our space businesses, and some of the aerospace and the other general markets that we serve. I am not looking for it in defense.
Julie Yates Stewart - Credit Suisse: Okay, understood. And then just on the acquisition pipeline what are you guys seeing, I think prices have been pushing up for a while. What is the appetite in FSG versus ETG based availability and pricing.
Laurans A. Mendelson: I think the appetite is really equal. We don’t have a particular plan for one business over the other. And we are sensitive to pricing sometimes a particular market can command higher pricing than another because it is getting more interest and sometimes it is better for us to wait that out as we have done in the past and I think that has always worked to our benefit. And we are very careful on the defense side. We see a lot of opportunities there but we are careful and we like to bake in additional haircuts when we look at those on top line and margins and above the line and so forth on those opportunities, so that we are conservative in our forecasting.
Eric A. Mendelson: And, Julia, just to add over on the Flight Support side obviously pricing is significantly up, it seems the after-market has been discovered by the world as the great secret of great business model and we understand it very well. We are very cautious and we want to make sure that we do well in both good times as well as the tougher times. But we’ve got a number of opportunities that we are looking at right now. Of course, we tend to be a preferred acquirer. We really need to find those circumstances where our -- the qualities of the company in terms of the touch and feel that we use and our operating style is valued by the seller in order to find a transaction that works for us. So we are working on a number of transactions right now.
Julie Yates Stewart - Credit Suisse: Okay, great, thank you very much.
Laurans A. Mendelson: Thanks, Julie. Operator Thank you. Your next question comes from J.B. Groh with J.A. Davidson.
J. B. Groh - D.A. Davidson & Co.: Hey, guys, can you hear me okay?
Laurans A. Mendelson: We can, good morning.
J. B. Groh - D.A. Davidson & Co.: Hey, morning. Hey, I have one for Eric, I mean sort of seeing off some of the other questions on organic growth, is your development pace changed materially over the last few years? I know you used to give a number of PMA that you thought you would get in the year, I understand you don’t want to get too detailed on that, but is that -- is your capability of putting more PMAs through the system increased and has that helped with the growth?
Eric A. Mendelson: Yeah, again we tend not to give out details because frankly our competitors are on these calls and listen and respond accordingly and that is certainly not helpful to HEICO. But I can tell you in a very broad sense that our development pipeline remains consistent with prior year period. We continue to develop into adjacent markets. We continue to develop new products, new technologies that are really very exciting and very much appreciated by our customers, and doing things that frankly nobody else in the industry does and very often that our competitors believe is not doable. So we continue to have a major focus in that area, there's no change at all.
J. B. Groh - D.A. Davidson & Co.: Okay. Is the margin potential consistent with what you’ve been getting in some of these new product lines and sort of areas that you haven't played in in the last…?
Eric A. Mendelson: Yes, absolutely. I’d say they are consistent if not better than what we have done in the past.
J. B. Groh - D.A. Davidson & Co.: Okay, great, thank you.
Eric A. Mendelson: One of the important things to note is that the basically the newer technologies that have come out the newer products that serve the same purpose as prior generation products typically at price point that are much higher than the prior generation. So the margin potential is enhanced and remember we’re not only engine but we also do components and we’re all around the aircraft.
J. B. Groh - D.A. Davidson & Co.: Great thank you.
Eric A. Mendelson: Thank you.
Operator: Thank you. Your next question comes from Arnie Ursaner with CJS Securities.
Unidentified Analyst : Hi this is actually [Lee Jagotta] from CJS Securities for Arnie.
Laurans A. Mendelson: Okay, Lee good morning.
Unidentified Analyst : Good morning so Larry can you talk a little bit about the status and the issues you had that affected Lucix in the first half and then as move through Q3 and Q4 how does that kind of develop? And then as a follow up just the amount that’s remaining on the earn-out for 2015?
Laurans A. Mendelson: Okay, again at 30,000 feet Lucix had a sizable backlog when we acquired it. Few of the contracts had cost over runs which I think you are seen in the results and I think that’s what impacting the initial, the first quarter and the second quarter. Those cost overruns will of course are painful to take them but at the same time the cost overruns have the effect of reducing cash that we will require as a payout to the former Lucix shareholders, so whereas we have a total potential liability earn-out of $50 million which we had estimated would actually be somewhat less at this time, the 50 million is going to be considerably less and every dollar we save on that is really cash in our pockets. So that’s the positive and the negative side of the whole thing. We believe that once these cost overruns are out of the way and there cost overruns that we had to complete for very important customers we think that the credibility that Lucix will derive from doing the job right and sticking with it will be made up in the future. If you recall, about a year or two ago we bought a company 3D in France, and the first six months it hit the bottom line we had the contract flow drop and we said that that was affecting ETG and that we expect it to turn-around and I think the Lucix situation at this point we look at in the very same way. We do believe that it will turnaround, we do believe that additional contracts will fill in and we expect that the situation will straighten itself out. So I can’t guarantee it because these contracts are complex and there as you know there are on satellites and the electronics of the satellite are very complex issues to deal with. But I think that’s the overall picture and as we see the likelihood of the earn-out being reduced we have been required under the accounting rules to reduce our liability for the earn-out and the accounting treatment for that is to take some of it into income which lessens the impact of the loss. So it’s kind of an accounting truthfully to me it’s an accounting nightmare but suffice it to say a lot of the loss is made up by the reductions and the ultimate earn-out which is cash in our pocket. So I'm going to let Victor comment if he has anything more to say about that.
Victor H. Mendelson: I think you covered it pretty well.
Thomas S. Irwin: Lee this is Tom Irwin, the last part of your question regarding the remaining amount that we have recorded as the liability at this point is around $12 million.
Laurans A. Mendelson: That’s $12 million out of the initial $30 million, originally was 50 and then 20 dropped but it’s $12 million is the remaining liability.
Unidentified Analyst : Okay and then one more book-keeping question just to be clear, your guidance for net income growth of 12% to 14% is that on a reported basis or after adjusting for the earn-out reversals and taking that out of the numbers?
Laurans A. Mendelson: That would be GAAP reported. So it's all inclusive of positives and negative adjustments.
Unidentified Analyst: Okay, great thanks very much.
Operator: Thank you. Your next question comes from Kevin Ciabattoni with KeyBanc Capital.
Kevin Ciabattoni - KeyBanc Capital Markets: Good mornings guys thanks for taking my questions.
Laurans A. Mendelson: Good morning.
Kevin Ciabattoni - KeyBanc Capital Markets: One quick follow up on Lucix. You talked about the cost overruns, has anything changed there from the demand side from when you closed the business last -- the acquisition of the business last year through now or has it been purely those cost overruns on the contract?
Victor H. Mendelson: Kevin this is Victor. I'll answer that for you. The satellite business and we knew this when we bought Lucix based on other businesses that we have tends to be volatile in terms of orders. So you'll go a series of months with no orders whatsoever and then of all a sudden it's like feast or famine, you have a huge order month. And in fact we had a huge order month somewhat recently. It's been a little quieter lately and that could work its way into our production later in the year or we could have orders come in and move forward. So at this point I would say it's a fairly typical sort of cycle that we're seeing and I would expect that over the course of our ownership of the business we have to look at this little longer cycle one to two years if you will and we've kind of judged the performance of the business on that basis, because of the volatility and the size of the orders they tend to be very large individual orders as opposed to let's say production line orders the sort that kind of come in regularly and on a sort of pro rata basis.
Kevin Ciabattoni - KeyBanc Capital Markets: Okay, thanks. That's helpful.
Laurans A. Mendelson: I just want to add one other bit of color. When we purchased Lucix, we expected A, it to be lumpy because of what Victor just described. And number two that Lucix in the future would have a very, very great future in the space business. So we didn't really expect it to be an immediate impact, we didn't expect it to have this immediate loss either but we thought that the future for the products that it makes and the customer it serviced would be a longer-term type of an investment. So that's the color. We're not ready to write it off or we're not terribly upset with what's happened. We don't like it but we think the future still is pretty bright.
Kevin Ciabattoni - KeyBanc Capital Markets: Okay, thanks. And then just shifting to commercial aerospace curious as to what kind of opportunities you are seeing or expect to see on the 8380 starting to see the first of those aircrafts due for heavy maintenance of it and Lufthansa with the ownership stake they've got a pretty substantial fleet already just kind of wondering what you guys are expecting to see from that platform?
Laurans A. Mendelson: Yeah we obviously the 8380 is doing quite nicely. There are number of them out there. We need to be very careful though unfortunately Kevin on what we comment on specific platforms because as I said our customers -- I am sorry our competitors are listening to what we say very intently. But we do believe it's an excellent platform for us and we do already have plenty of content on it. Again it has the same dynamics that all of the other aircrafts have where typically one manufacturer charges a lot of very high prices for the spare parts and repair services. So I think that there is a lot of very good opportunity and also as you rightly point out Lufthansa is a major operator of the 8380 and of course they own 20% of HEICO Aerospace. So there is tremendous opportunity there. So I think we're in the unique position to be able to work with our partner to solve their needs. And of course Lufthansa has partnered with Air France in the components business there. So I think that there is very good opportunity for us there as well as all around the different fleets.
Kevin Ciabattoni - KeyBanc Capital Markets: Perfect and then last one from me, another one for you Eric, I guess, just looking at what appears to be a pretty strong in-carrier retrofit cycle are you guys kind of seeing any uptick there just given your mix shift away from the engine and more towards components and carrier components just kind of curious as to what you guys are seeing there in terms of order flow I guess.
Eric A. Mendelson: Yeah we are active as you mentioned in that space. We do very well in it and that yes the airlines wants to continue to retrofit their cabins and I think that provides great opportunities for HEICO, a huge opportunity for us in many of the different areas in which we operate in that space.
Kevin Ciabattoni - KeyBanc Capital Markets: All right, thanks. That’s all I have.
Eric A. Mendelson: Thank you.
Operator: Thank you. Your next question comes from Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu - Jefferies & Co. LLC: Hi good morning and thank you for taking my question.
Laurans A. Mendelson: Good morning Sheila.
Sheila Kahyaoglu - Jefferies & Co. LLC: Good morning. This one's for Victor, in terms of ETP do you mind elaborating on the magnitude of the decline in defense? And may be what you saw in the sequential basis and also in terms of profitability level if you could squeeze the onetime items, you're sort of in the high teens margin level whereas you have been operating at a 20% plus margin rates. So how should we think about that going forward?
Victor H. Mendelson: Sheila, think as you take out adjust for Lucix as I said we are around 22%. So I think that’s consistent there and in terms of what we are seeing in defense for the most part we are I think seeing a softness that’s coming from what our people tell me appears to be kind of budgetary issues add up their customers. And so they tend to see things that tell me are slipping out to the right if you will, that the demand remains there. As far as we are concerned we sort of take that out of our planning and we take that out of our assumptions to be conservative, put that back in later I suppose so but we kind of take what we are given and discount it a little bit further. So that’s essentially what we are seeing.
Sheila Kahyaoglu - Jefferies & Co. LLC: Okay. And then just back on the margins then. So we should expect it to kind of remain around the 22% level or does it tick that up to mid-20’s?
Victor H. Mendelson: I would say I would look in the lower 20’s it's possible for the mid-20’s but right now if I look at the mix of where we are, some of the things as I said to you on our defense side of it. So one would expect to see stronger and we kind of want to be more a little more conservative I would expect to see the lower 20’s for the time being. And we’ll see where we are as we go into next year.
Sheila Kahyaoglu - Jefferies & Co. LLC: Okay, got it and then just one for Eric. In terms of new products they have been driving growth for the last few quarters. Are you also reaching out to new customers, do mind elaborating on that a bit?
Eric A. Mendelson: Yeah, we absolutely had tremendous focus on reaching out to new customers, we bring new customers on board, and again there is obviously there is new customers. People haven’t purchased products from us and there is not a lot of those out there. But what we also define similar to the new customer would be a customer for a HEICO product that they haven’t purchased from us in the past. And there is a tremendous amount of opportunity in that area for us and we continue to win over customers where they haven’t purchased certain products lines and there is a lot of opportunity, a lot of stuff that they can buy from HEICO significant cost savings, turn time advantages and component repairs as well as distribution and we see a lot of expansion there, there are lot of expansion opportunities.
Sheila Kahyaoglu - Jefferies & Co. LLC: Got it, thank you.
Eric A. Mendelson: Thank you Sheila.
Operator: Thank you. Your next question comes from Kenneth Herbert with Canaccord.
Kenneth Herbert - Canaccord Genuity: Hi good morning.
Laurans A. Mendelson: Good morning Ken.
Kenneth Herbert - Canaccord Genuity: Victor, first just wanted to ask. Can you just provide us again or Tom may be of the sort of 3% to 4% implied organic top line growth or ETG. How does that parse out by the legacy defense or military business versus space or may be versus the industrial business?
Thomas S. Irwin: This is Tom Irwin. Again yeah in terms of our overall segment organic growth we are still in the consolidated full fiscal year ’14 numbers those in ETD are around 3% to 4%, that was the build-up based on our growth in space and aerospace and some industrial and then if you will going into the year our estimates on defense would be potentially a drag of 5% to 10% that was the build-up to those roughly 2% to 4%. And at this point our outlook for the full year hasn’t materially changed by market segment.
Kenneth Herbert - Canaccord Genuity: Okay great that’s helpful. And then Eric if I could within -- it's been a while but if you try to [inaudible] down for first two quarters. Are you seeing any changes in business when you require that either on the initial defense opportunities or perhaps on the interior side and how would you comment on the track of that business relative to your expectations?
Eric A. Mendelson: Yeah I will say we are -- it's performing consistent with our expectations. We have an excellent management leadership team there and great team member base and they are performing very well in all segments of their business. Obviously there is different opportunities in different areas then and business cycles a little bit and as we mentioned missile defense tends to be a little bit lumpy. But overall I would say the company has performed extremely well and we are very happy with it.
Kenneth Herbert - Canaccord Genuity: Hey, well thank you very much and nice quarter.
Laurans A. Mendelson: Thank you.
Operator: Thank you. (Operator Instructions). Okay I am not showing any further questions.
Laurans A. Mendelson: Okay. Well I thank you all for your interest in HIECO. If you have any questions you know that we are all available to respond, give us a call or if you are down in South Florida set up an appointment to come on in and chat with us. And we look forward to speaking to you on about three months from now on the third quarter earnings call. So have a good summer, and we will speak to you in the near future. Thank you all.
Operator: Ladies and gentlemen, thank you for joining today’s conference. Thank you for your participation. That does conclude the conference. You may now disconnect.